Operator: Good day and welcome to the Host Hotels & Resorts Third Quarter 2020 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the call over to Tejal Engman, Senior Vice President of Investor Relations. Please go ahead.
Tejal Engman: Thank you and good morning, everyone. Before we begin please note that many of the comments made today are considered to be forward-looking statements under Federal Securities Laws. As described in our filings with the SEC, these statements are subject to numerous risks and uncertainties that could cause future results to differ from those expressed, and we're not obligated to publicly update or revise these forward-looking statements. In addition, on today's call, we will discuss certain non-GAAP financial information such as FFO, adjusted EBITDAre, cash burn, and hotel-level results. You can find this information, together with the reconciliations to the most directly comparable GAAP information, in today's earnings press release, in our 8-K filed with the SEC, and in the supplemental financial information on our website at hosthotels.com. Participating in today's call with me will be Jim Risoleo, President and Chief Executive Officer; and Sourav Ghosh, Executive Vice President, Chief Financial Officer and Treasurer. And now, I'd like to turn the call over to Jim.
Jim Risoleo: Thank you, Tejal, and thanks everyone for joining us this morning. I hope all of you and your families remain safe and healthy. Over the last several months, we've transitioned from responding to the challenges posed by this pandemic, to rebuilding our business within its confines. To that end, I would like to highlight three key achievements since our last earnings call. First, we've achieved gradual but steady revenue growth, with our portfolio delivering sequentially higher RevPAR each month from a historic low of approximately $9 in April to a preliminary estimate of $37 in October. Although third quarter and October RevPAR remained more than 80% lower year-over-year. Third quarter revenues grew over 90% quarter-over-quarter, as our operators maximized their efforts to access all potential sources of wholesale demand, which continues to gradually increase. Second, we have reduced our third quarter hotel-level operating loss by approximately 40% from second quarter levels, including the benefit of a $23 million employee retention credit. Based on third quarter results, and excluding the employee retention credit benefit, we have reduced our monthly ongoing hotel-level operating loss by approximately 25% on average compared to the second quarter. Our sequential revenue growth has flowed through to our bottom line, as our operators have continued to do an outstanding job of minimizing expenses. Finally, we have further strengthened our robust liquidity by raising over $600 million of capital through opportunistic asset sales and debt refinancing and repayments. As a result, if fourth quarter operations are commensurate with the third quarter, we expect to end the year with approximately $2.4 billion to $2.5 billion of total available liquidity, including cash and FF&E reserves, with no debt maturities until 2023. As we enter the ninth month of the pandemic with daily COVID-19 case counts in the United States near all-time highs, we continue to believe that the demand recovery will remain gradual and choppy before the widespread availability of effective COVID-19 vaccines and therapeutics. Therefore, our key near-term priorities remain: number one, working with our operators to continue to access all potential sources of demand; number two, minimizing expenses and reducing hotel cash burn; and number three, maximizing liquidity. We're equally focused on our longer-term objectives of structurally redefining our operating model, positioning our portfolio to gain RevPAR index share, and capitalizing on opportunistic investments to create long-term value for our stockholders. Let me walk you through our progress on these near and long-term objectives before handing the call over to Sourav to explain our third quarter operating performance. Beginning with demand. Although occupancy continues to be driven by leisure travelers, our hotels are also capturing short-term group, airline crew, and small but steady business transient volumes. We booked 127,000 group nights in the third quarter and delivered 88,000 more room nights than the second quarter. If you exclude New York, which accounted for the majority of group room nights in the second quarter due to medical and first responder business. Excluding New York, group rooms increased progressively throughout the quarter from 19,000 in July, to 40,000 in August, and 49,000 in September, primarily driven by corporate and Smurf events. Nine of our hotels booked sports-related group blocks for major league baseball and NFL teams to ESPN and other sports media, with a notable 800 rooms booked at Hyatt Regency San Francisco Burlingame for the PGA Championship in August. In addition, the Andaz Maui was personally bought out by a film production unit, which generated over 8,000 total room nights across September and October, two months when regular hotel operations were temporarily suspended. With robust safety protocols in place, including testing attendees upon arrival and employees on a daily basis, the Andaz generated a little over $1.7 million of incremental hotel-level EBITDA from this business. While our operators are striving to access all potential sources of hotel demand, they remain focused on working with meeting planners to restore confidence in traditional group meetings and events. In October, the Orlando World Center Marriott hosted this year's Connect 2020 Conference with more than 1,000 in-person attendees at our hotel, and 175 virtual attendees at home. Every detail was meticulously designed for safety as the Trade Show was spread across our 39,000 square foot Crystal ballroom with widely spaced booths and aisles, so the large groups of attendees were able to socially distance safely. Attendees complied with the hotel's map mandate, and plenty of maps were available on site. The property was able to complement the in-person events with virtual suppliers and a digital Trade Show that occurred simultaneously. We believe this hybrid meeting format will augment in-person demand and Marriott plans to host four global hybrid meeting events starting on November 9 at our Ritz-Carlton, Tysons Corner. While such events help publicize the fact that meetings can take place safely despite the complexities posed by the pandemic, restrictions on large group gatherings remain in place for most states and local jurisdictions, and nearly all conventions in city-wide had been cancelled through the first quarter of next year. We remain optimistic about group business on a medium to long-term basis due to encouraging group booking patterns. Rebookings as a percentage of cancellations continue to increase, with approximately 16% of group book business that was cancelled in 2020 now rebooked into future years, up from 11.6% in the second quarter. Moreover, group cancellations for 2021 remain concentrated through April, with groups that are scheduled for the second half of next year holding fairly steady. In the third quarter, we booked a net 81,000 group rooms for the second half of 2021 driven by San Francisco, San Jose, Orlando, New York, and the D.C. Metro region. We have 2.2 million definite rooms on the books for 2021 which are on a full-year basis is 31.5% lower than the same time last year, and on a second half basis is 7.7% lower. For context, we had approximately 3.2 million definite rooms on the books for full-year 2020 at the same time last year. Finally, our operators achieved a robust sequential increase in 2022 to 2024 group bookings. We booked nearly 100,000 more room nights for these out years in the third quarter than we did in the second quarter, with room night activity down only 13% to the same time last year. Importantly, for these out years, ADR is only 80 basis points lower than the same time last year, in contrast to the deep discounting that prevailed in the aftermath of 9/11 and the Great Financial Crisis. Moving on to business transient, demand remains minimal, but has improved from 11,000 room nights in July, to 13,000 in August, and 14,000 in September. A variety of industries are driving demand, including healthcare, consulting, technology, and financial and business services with no particular standouts. In general, both group and business transient demand is being driven by smaller organizations, rather than by the large corporate accounts. We continue to believe that business travel will recover in line with the broader economic recovery because of the ROI it generates for businesses. For every dollar spent on business travel, there is a $10 return in revenue and a $3 return in profit according to a 2013 analysis by U.S. Travel and Oxford Economics, which statistically modeled 14 industries over 18 years. Moreover, travel makes up only 1% of total U.S. corporate sales, and roughly 2% of operating expenses according to the U.S. Bureau of Economic Analysis, making travel cuts less impactful to long-term profitability than is commonly perceived. Turning to contract revenues. Although TSA passenger volumes have slowed recently, they grew steadily during the third quarter as airlines continue to add more destinations. Our operators drove additional crew business to our hotels, resulting in 31,000 more contract rooms in the third quarter compared to the second quarter, a 71% sequential increase. And finally, leisure demand which relatively outperformed other types of demand through the summer has held up better than it historically does post-Labor Day. If lines between work, school and home remained blurred, our operators have created new offerings to appeal to consumers looking to escape but not via being at home. Hyatt introduced the Work From Hyatt package and Marriott launched the Work Anywhere with Marriott Bonvoy package. The packages facilitate working productively from a hotel for the day, a short stay, or an extended resort vacation, another example of our operators innovating to access all potential sources of demand. Moving on to cash burn, our hotel-level operating loss averaged $40 million a month in the third quarter, not including the Employee Retention Credit received under the CARES Act. That $10 million per month lower than the monthly cash burn scenario we outlined on our second quarter call, and approximately half the worst case scenario of $70 million to $80 million that we discussed in May. Our third quarter hotel-level cash expenses, less the Employee Retention Credit increased by 19% on a revenue increase of over 90% compared to the second quarter. Our operators have demonstrated their commitment to achieving hotel-level break-even as soon as possible by continuing to minimize costs and add back expenses only as necessary to service business levels as a current low occupancy rates. Assuming operational performance remains at third quarter levels, we would expect approximately $95 million to $105 million of total monthly cash outflows reflecting an average hotel level loss of approximately $40 million a month, as well as estimated CapEx, interest payments and general corporate overhead. Above property, corporate level monthly cash flows will be sequentially higher in the fourth quarter due to the timing of CapEx and interest payments. Sourav will provide greater details on our near-term cash burn trajectory in his prepared remarks. Moving to our final near-term objective of maximizing liquidity, we raised over $600 million of capital through opportunistic asset sales and debt refinancing since our last earnings call. We sold a 532 room Newport Beach Marriott Hotel & Spa for $216 million, which exceeds our pre-COVID internal hold value for this asset. Moreover, we reduced our future CapEx commitments with the sale of this hotel, including $19 million of contractually required owner funded CapEx for the Marriott Transformational Capital Program and associated systems renovations. This was an opportunistic sale at pre-COVID pricing to a buyer who has strategic reasons to own the asset. We're pleased to have achieved a total CapEx adjusted valuation of 13.8 times 2019 EBITDA and a 6.8% cap rate based on 2019 NOI and to have further enhanced our liquidity and reduced our near-term capital spending requirements. Moreover, there will be no incremental redistribution requirements imposed by the tax gain generated by the sale to Newport Beach Marriott due to a combination of the first quarter common cash dividend was paid in April 2020, and the anticipated net operating tax loss to be incurred by Host, Inc. in 2020, 2020 also. We also completed the second closing on the sale of development land at The Phoenician bringing our total land sales at that asset to approximately $83 million this year. As we have discussed in the past, the sale of this land wasn't in our underwriting when we acquired the hotel in 2015. However, it was a part of our vision to unlock the tremendous value we saw on The Phoenician. We're pleased to have executed an incredibly complex rezoning entitlement process by solving multiple technical issues. In so doing, we have successfully monetized approximately 38 acres of non-income producing land and created value for our stockholders, while retaining an additional 21.5 acres of land to create further value through a combination of future sales or resort expansion. The buyer plans to build approximately 165 luxury condominium units, 85 single-family homes, and 30 villas on these parcels, and residents will have the option to purchase an amenity program with The Phoenician to access resort amenities and other services. We anticipate that this building demand will help drive food and beverage spa and golf revenues at the resort. To conclude on our near-term objectives, we further enhanced our liquidity position by issuing a total of $750 million of Series I Senior Notes in two substantially oversubscribed tranches resulting in an attractive coupon of 3.5% and a reoffer yield of 3.6% to 3.7%. In contraction our Series I issuance, we completed a tender offer of our 4.75% Series E senior notes due 2023, with an approximately 81% participation rate. As a result, we further augmented our cash position by $343 million, while extending our average debt maturity and maintaining our weighted average interest rate. Shifting to our longer-term objectives, we're working with our operators to redefine our operating model. Cross utilization of management functions, and a reduction in the fixed component of above property charges are two of the biggest contributors to our long-term cost savings target of $100 million to $150 million, which is based on 2019 revenues and represents approximately 3% to 4% of pro forma 2019 hotel-level expenses. To-date, our operators have made solid progress on both of these priorities, as they restructure their workforce and their above property shared services for sales, marketing, revenue management, and IT. We remain deeply committed to working with our operators to create long-term efficiencies that will allow us to generate greater profitability at lower levels of occupancy. A more profitable operating model would not only make for a faster recovery to 2019 EBITDA levels, but it will also improve the long-term value of our assets. Now turning to investments, let me begin with our capital investment plans for the portfolio. We believe our ability to continue to invest in our portfolio is a unique competitive advantage that will positively influence our relative performance and our growth trajectory throughout this lodging cycle. Although we have cut our 2020 maintenance CapEx budget by nearly 40%, we continue to invest in the Marriott Transformational Capital Program, as well as in other ROI projects. On a combined basis, these represent nearly 70% of our 2020 capital spend. Moreover, nearly 70% of our investment in the Marriott program will be complete by year-end 2020 and the entire program will be substantially completed by year-end 2022. As a result, we expect to gain RevPAR index share during the heart of the recovery. First, as we outperform the competition that is unable to invest this year and next: and, second, as we maintain our RevPAR index share gains when competitors disrupt their operations to renovate assets later in the cycle with 2022 likely being the first year that many to be able to meaningfully invest in their portfolios. The Coronado Island Marriott Resort & Spa for example, completed its Marriott transformational program renovations last year, and has improved its RevPAR index share by 9.8 points through August this year, compared with the same period in 2018. This is nearly three times the program's expectations of three to four points of index share gains. It has also outperformed the San Diego Downtown upper-upscale sub market by 16 points year-to-date, implying over $2 million in incremental room revenues. Moving on to acquisition opportunities and the transaction markets, a record 26% of CMBS Hotel loans were in special servicing in September 2020 compared with 1.9% in December 2019. And 70% of hotel loans are either in special servicing or on special servicing watchlist according to TREPP Research. Delinquency rates are expected to move higher as forbearance agreements start to roll-off. Additionally, some hotel owners who were hoping for a speedy recovery may not be able to sustain the cash outflows required to service their indebtedness and may decide to throw in the tile. So although we don't see high quality assets trading at this time, we continue to focus on opportunities where we can leverage our competitive advantages, such as deep owner, broker and operator relationships, and our ability to do large transactions. Our reputation for providing speed and certainty of closing and ability to offer tax advantaged structures to sellers are additional distinguishing factors. To conclude, our near-term objectives aim to lower our cash burn and maximize our liquidity while our longer-term objectives are designed to drive faster EBITDA recovery by structurally improving margins, gaining market share and acquiring assets. With $2.4 billion to $2.5 billion of expected total available liquidity at year-end, we believe, we have the ability to withstand prolonged business disruption and capitalize on opportunities for growth. We entered this crisis as one of the lodging REITs with the lowest leverage and greatest balance sheet capacity and believe these remain key attributes that are necessary to create meaningful long-term value in this new lodging cycle. With that, I will turn the call over to Sourav.
Sourav Ghosh: Thank you, Jim, and good morning everyone. Building on Jim's comments, our third quarter top-line performance improved from the historic lows reported in the second quarter. RevPAR for the third quarter declined by 84.1% year-over-year compared with a 93% year-over-year decline in the second quarter. Year-over-year occupancy and ADR declines both improved on a sequential basis as we reopened 20 hotels in the third quarter and summer leisure travel bolstered overall hotel demand. Compared to STR Data for U.S. upper tier hotels in our top markets, our total portfolios ADR declines were 150 basis points better than the industry's. We outperformed on average occupancy in 11 of our top markets in the third quarter. However, our overall occupancy declines were 370 basis points greater than STR, primarily because our portfolio has more hotels in prime, downtown location than the industry does. Notably, our RevPAR was in line or better than the industry's in our resort oriented markets such as Jacksonville, Florida Gulf Coast, Miami, Phoenix, and Hawaii, as well as in Northern Virginia and New York, where we benefited from crew business and corporate room blocks. Our operators continue to be able to preserve and in some cases to even exceed rates versus the same time last year at properties that are high in demand, especially on strong compression dates such as national holidays. For example, our Florida Coastal Resorts delivered 22% year-over-year ADR growth in September. In general, rate doesn't appear to be driving occupancy to the extent it normally would in a downturn. Customers are more sensitive to cleanliness and sanitization standards than to room rates. We therefore remain hopeful that rate degradation will be less severe than in prior downturns and that branded hotels will benefit from having stringent cleanliness standards to help gain customer trust and strong loyalty programs to help drive demand. Shifting to non-rooms revenues. Third quarter food and beverage revenues on a pro forma basis declined by approximately 90% year-over-year due to a 96.5% reduction in banquet and AV revenue, and an 81% reduction in outlet revenue. At our open resort properties however, outlet revenues per occupied room were nearly 28% higher year-over-year, as leisure transient guests continued to dine on property during their stay. While other revenues included approximately $10 million of group and attrition and cancellation fees, we do not expect to recognize material cancellation and attrition revenues related to the pandemic going forward, as we continue to prioritize the rebooking of group business. So literally top-line numbers for October reflect a gradual but steady month-over-month improvement with October RevPAR at approximately $37 compared to September RevPAR of $34.64, driven by 20.7% occupancy and an approximately $179 ADR. Year-over-year RevPAR declined by approximately 82% and was almost the same as the year-over-year RevPAR decline reported in September. Looking at November, we expect top-line performance to be negatively impacted by the Election this week, but are hopeful that demand will gradually improve around the holidays. Although visibility remains limited, as the length of the booking window remains extremely short, our portfolio is generally well-positioned to capture short lead time demand, as we now have 75 of 79 hotels representing 94% of our total room count open. Speaking of reopenings, let me provide you with a brief update on Hawaii, which reopened to tourists on October 15. Travelers, who get a COVID-19 test, no more than 72 hours before departure, and show proof of a negative test upon arrival, are now exempt from the mandatory 14-day quarantine rule. Multiple airlines and airports are now offering rapid COVID-19 testing for Hawaii bound passengers thereby enabling a gradual return of tourists to the islands. For November, occupancy on the books is currently ranging between 20% to 35% across our four properties in Maui, and Oahu. Moreover November through January transient ADR pace for our hotels in Hawaii is up 3.8% year-over-year. Moving on to expenses, we worked with our operators to reduce third quarter hotel operating costs by over 65% year-over-year, excluding the $43 million of severance paid in the quarter. Although operators recorded a $23 million reduction in expenses related to the Employee Retention Credit received in the third quarter, this benefit was more than offset by $31 million of healthcare benefits paid to furloughed employees. As a reminder, we accrued $32 million for that expense in the second quarter. In the third quarter, we accrued an additional $26 million for similar payments that will be made in the fourth quarter. As previously disclosed, we expect to incur another $16 million to $26 million of severance expense in the fourth quarter, as our operators continue to reevaluate the workforce structure and implement changes that are expected to lead to a more efficient operating model in the long-term. We have worked closely with our operators to minimize expenses in the third quarter, despite reopening more hotels and achieving greater levels of occupancy. Fixed costs declined 46% year-over-year, excluding the employee retention credit, which is remarkable when you consider that a significant portion of the remaining fixed expenses consists of property, taxes and insurance. The quarter-over-quarter increase in the fixed costs was largely due to improving business levels and increased maintenance, utilities and contract service costs at the 20 hotels that were reopened during the third quarter. Variable costs were down 85.5% on a total revenue decline of 84% year-over-year. Since April, variable cost declines have broadly matched revenue declines, while ongoing wage and benefit costs have only slightly increased with improving volumes. Hotel management teams have implemented productivity saving protocols, restructured food and beverage platforms, and improved the cross utilization of associates. As an example, our operators have more than offset the cost increase associated with revised cleanliness protocols by driving productivity improvements in housekeeping. For the fourth quarter, we believe, we'll see continued cost containment for wages and benefits and variable expenses where cost reductions mirror reductions in overall volume. With regards to fixed costs, the brands have already communicated reductions in above property costs. Moreover, we would also expect the tax benefit we experienced at the corporate level in the third quarter to continue along the same trajectory. 15 hotels delivered a hotel-level operating profit for the entire third quarter with 18 hotels, recording a hotel-level operating profit in September, excluding the impact of the Employee Retention Credit. At the hotel EBITDA level, we're breaking even in the 35% to 45% occupancy range when ADR is down 15% to 30% in line with the estimates we provided in April. Assuming the inclusion of corporate level expenses for interest and corporate G&A of approximately $20 million per month on average, we would break-even at occupancy levels of approximately 45% and 60% at the same ADR decline levels of 15% to 30%. As you think of our past EBITDA break-even and subsequent growth, it is important to note that once we achieve hotel break-even for the consolidated portfolio, we would expect operating expenses to ramp commensurate with business volumes. Therefore, we would expect to remain at break-even within a range of occupancy before inflecting upward. Moving on to cash burn. As Jim noted, we expect fourth quarter above property corporate level monthly cash outflows to be higher than the third quarter, largely due to the timing of CapEx and interest payments. At the hotel-level, if operational performance remains at third quarter levels, we would expect an operating loss of approximately $40 million a month, excluding the benefit of the Employee Retention Credit. Based on this scenario, overall fourth quarter cash burn would be higher than the third quarter and in the range of approximately $95 million to $105 million a month. Of this amount, approximately $35 million a month is related to our CapEx program. I would like to note that we haven't provided a hotel-level cash burn breakdown for each month of the third quarter because the lumpiness of cash inflows and outflows may make monthly level disclosures misleading. For example, September includes the operating profit guarantee for the Marriott Transformational Capital Program, as well as the employee retention credit and would therefore not provide an accurate run rate for subsequent months. As Jim mentioned, we successfully refinanced debt in transactions that further strengthen our liquidity by $343 million, while extending our weighted average debt maturity, and maintaining our weighted average interest rate. This combined with approximately $265 million of net proceeds from the sale of the Newport Beach Marriott, and the land The Phoenician further maximizes our liquidity, which can be deployed in multiple ways to create value for our shareholders. To conclude, although limited visibility continues to make forecasting extremely challenging, we continue to focus on what we can influence, which includes minimizing our cash burn and maximize on the liquidity in the near-term, while working with our operators to redefine the hotel operating model, and investing in our assets, so they may outperform over the long-term. Similarly, the strength of our balance sheet and liquidity position allows us to endure an unprecedented crisis today, while enabling us to be opportunistic and grow shareholder value in the future. And with that, we'll now open it up to Q&A. To ensure we have time to address questions from as many of you as possible, please limit yourself to one question.
Operator: [Operator Instructions]. Your first question comes from the line of Rich Hightower with Evercore. Please proceed with your question.
Rich Hightower: Hey, good morning, good afternoon, as the case may be you guys.
Jim Risoleo: Good morning, Rich, good afternoon, as the case may be to you.
Rich Hightower: Exactly. A lot of ground we could cover here, but I guess one question I want to talk about, maybe the impediments to stronger sort of group business bookings, as we think about the second half of next year and beyond. And if you had to sort of weight the different factors that might be holding that back, I mean, is it public health or is it sort of corporate profits, and companies thinking about their budgets, I mean between those two or maybe other factors, what do you think might be the biggest hindrance at this point? Thanks.
Jim Risoleo: Yes, Rich, Sourav can jump in on the way here. I'll start. I think it's the whole backup routine, generally in bookings, both on the business transient side and the group side is related to a couple of things. Number one, government restrictions and that's being driven by public health concerns. So I think we -- as we've talked many times, we're not going to see business return to any sense of normalcy until we have an effective vaccine or vaccines or therapeutics combined with the vaccine. That said, we did talk about -- I think Sourav talked in his comments or maybe it was mine about what we're seeing happen next year with respect to group cancellations. It's clear to us with Connect 2020 being held at Orlando World Center, the meeting planners want to get groups back on the road and in hotels, it's very important for associations to meet and for corporate groups to come together as well. So our mix from 2017 into 2019 average mix, group business was roughly on a revenue basis, call it 35% Association, 47% corporate, and 18% other, which is really smurf. I would tell you that, we're seeing a strong desire on the part of association business to come back, and we're all praying that we have an effective vaccine. So we can talk about how group pace is looking into 2022 and beyond. And I'll let Sourav take that.
Sourav Ghosh: Sure. So, Rich, I think more than pace, what we're focused on right now as we've talked about last quarter was really the tentative booking which was waiting in the sidelines because pace obviously as you would expect is down because of the uncertainty. But the tentative bookings have really pushed to the second half of next year. Right now, our tentative revenue on the books is up 32%. But clearly, people do want to meet, it's just a matter of like Jim said, when they're comfortable traveling again, and that's obviously a broader concern. The other stat obviously we did book, which is encouraging, we booked 300,000 rooms in the third quarter for 2022 to 2024, so for future years and compare that to same time last year, it's only down about 45,000 rooms. And from an ADR perspective, the other encouraging thing is ADRs for the rooms that we booked is less than a point down to same time last year, so again, encouraging trends when you look out into the future.
Operator: Your next question comes from the line of Anthony Powell with Barclays. Please proceed with your question.
Anthony Powell: Hi, good afternoon. Question on transaction, do you still think that you'll see an increase in activity in the overall environment for transactions in let's say the first half of next year and a lot of your peers have talked about structures like JVs and club deals and other kind of alternative ways to start acquiring hotels? Would you consider those, as you start to ramp-up your activity?
Jim Risoleo: Anthony, I think we would be very open to exploring club deals and JVs off-balance-sheet format if it made sense to us. We're in a unique position where under our existing credit facility waiver agreement, we can acquire up to $1.5 billion of hotels that have existing liquidity subject to maintaining $500 million of liquidity in the company. And as we discussed, we expect assuming that the fourth quarter trends mirror the third quarter trends and we're very pleased with how October has played out that will have $2.4 billion to $2.5 billion of available liquidity at the end of this year, taking us into next year. So I think that not only our club deals available. As you know, we were very successful in putting together a club deal in Europe with GIC and APG, the Euro JV where we acquired over 20 hotels as general partner and we would be very happy to do something like that again in the U.S. if the opportunity presented itself. One of the other distinguishing factors that we have available to us on the acquisition side is the ability to issue operating partnership units, that is truly distinguishing given the liquidity in our stock. And just the share of, I think we're trading on average now close to 14 million shares of stock a day. And it gives an owner the opportunity to provide some liquidity, but to provide the upside as well, going forward. So provide the upside in Host as our EBITDA continues to improve and our stock price continues to improve as well. So, to answer your question about what do we expect to see, every indication is and we're talking to a lot of people about this. Every indication is that come the first half of next year, as forbearance periods weigh, start to expire. And as owners who are in the unfortunate position where they don't have the liquidity, or they choose to not fund debt service payments and other expenses, we expect to see a significant number of properties come to market. So the answer is yes to both your questions.
Operator: Your next question comes from the line of Dori Kesten with Wells Fargo. Please proceed with your question.
Dori Kesten: Hi, thanks, guys. You detailed in your release your reasoning for drawing down your revolver in the quarter. And when would you expect to be out from under that bond covenant minimum? And are there any other similar constraints that we should be keeping an eye on at this point?
Jim Risoleo: Dori, it's awfully difficult to speculate when we would be out from underneath debt incurrence test. I think a lot of it is going to depend on how quickly we have a vaccine and how quickly it's rolled out to the public. And when businesses are comfortable sending people on the road, which as I -- you know, in answering Rich's question, I mean we have a lot of government restrictions out there. We're going to have to see the restrictions loosen, and I don't think that various government authorities are going to be prepared to do that until we have a vaccine. So the short answer is, we don't know, whenever the debt incurrence test will -- we will come back in compliance with the debt incurrence test. We don't have any other issues that you should be aware of today. We're in very good shape. We've done a -- I think, a very good job, an amendable job of raising another $600 million of cash this quarter and a very opportunistic and low cost way. So, we're today focused on reducing expenses, putting the portfolio in a position where we can outperform when the markets do open up and maximizing our liquidity.
Operator: Your next question comes from the line of Smedes Rose with Citi. Please proceed with your question.
Unidentified Analyst: Hi, thanks. This is Stefan [ph] for Smedes. You spoke a little bit in the opening remarks of the break-even rate. So in that scenario, would you be more focused on driving occupancy before stepping rate just given the cost savings you're targeting or and then just to that how are you also thinking about margin kind of with shift in the business mix? Thanks.
Jim Risoleo: Yes, I'll take the first part and then Sourav can jump in. So clearly, our margins will perform better, if we can drive rate at the expense of occupancy, it will just provide for better flow through to the bottom line. And we won't have the incremental cost associated with housekeeping and other expenses associated with having more rooms occupied. That's not to say that we're not going to take every, every room night that we can. But as we think about margin performance, the better margin performance is driven by rate going forward. And, we're very, very pleased with the fact that we're not seeing the rate degradation that we've seen in other recovery periods. When we look at what happened after 9/11 and what happened after the Great Recession. So, fingers crossed that that continues to be the trend going forward. And I'll let Sourav talk a little bit about how we think about break-even occupancy and ADR.
Sourav Ghosh: So from a mix perspective, that was your second part of the question and how we're managing margins. Despite changes in mix right now the situation we're in is most of our revenues is coming in, is really rooms only revenue. So reality is whether we look at leisure business or group any business coming in because it's primarily rooms only. Our focus is really on expenses that can really reduce and drive higher margins at the rooms' level. Food and beverage outlets in a lot of cases are running in limited operations and as we have said before, before we bring back on any food and beverage offerings, we're ensuring it's actually profitable and we drive profit to the bottom line. From a margin perspective, it's obviously is a lower margin business, but at the end of the day, we're looking at EBITDA dollars, not necessarily EBITDA margin. So once revenues do recover and -- and we're sort of in a position where we're getting back to pre-COVID levels of revenue, then the focus will be on margin expansion. And as we have messaged before, we're really focused on driving the $100 million to $150 million of incremental EBITDA compared to 2019 levels. And we have made quite a bit of progress on that. And a lot of it is tied to the food and beverage department, where there's been significant level of management of reduction. The severance that we had in the third quarter is directly tied to reduction of almost 30% of management headcount, which we believe is going to be a permanent reduction going forward.
Unidentified Analyst: Okay, thanks. And then just one more on transaction, can you just talk about competitive positioning versus private equity or other additional kind of capital, just given basically higher leverage. And then as you think about potential acquisitions or dispositions, whether there's market you'd like to add exposure to or exit?
Jim Risoleo: Yes, I'll take the second part of the question, first. We're generally market agnostic, we do believe that maintaining broad geographic diversification is a way to run the business. That said, some markets are going to open up better and sooner than other markets. So we will take all that into consideration in our underwriting criteria as we evaluate opportunities going forward. With respect to competitive positioning, I just make an observation that today, the debt markets are generally closed for the level of debt that private equity firms typically need to drive their returns there -- there levered returns in the high teens to low 20s or call it, mid-teens to low 20s. So we're not seeing any really competition out there today. In fairness, there's just not a lot of products on the market right now. I mean, we're evaluating every deal that we would deem to be attractive. We haven't come across anything that that meets our underwriting criteria, given the facts and circumstances of where we're in the cycle and in the recovery phase.
Operator: Your next question comes from the line of David Katz with Jefferies. Please proceed with your question.
David Katz: Hi, good morning, everyone. Thanks for all the detail and thanks for taking my questions. And Jim, I will admit, I've gone back and forth just a little bit. But I wanted to just get your updated thoughts about discussions with the largest brands, and the degree to which they can and are reevaluating the value that they deliver and what you frankly, what you pay for it, and what we can recently expect to sort of come out of all this, what your view of success really is?
Jim Risoleo: Sure. Well, I think what the brands deliver to us is a testament to the way we have been able to grow the business in a very challenged environment. And, we love the fact that the brands are listening today, and I'll let Sourav jump in on this in a few minutes. They heard us loud and clear, they heard us with respect to brand standards. As you know, that there are roughly 300 brand standards at the major brands, and that would be Marriott, Hyatt, and Hilton, and we have worked closely with them to reevaluate each of those standards going forward. And it relates to the most basic David, food and beverage offerings, when the restaurants have to be open, how long do they have to be open, what you have to offer to your customers. The fact that we're talking about and seeing and I'm going to let Sourav give a little more detail on this, and seeing a true reduction in expenses of between $100 million to $150 million based on 2019 pro forma performance, I think is a strong testament to the fact that the brands get it today. They're one with us when it comes to understanding the challenges that owners face. And we interface with both brands, our two major operators, Marriott and Hyatt on a weekly basis. So Sourav you want to talk a little bit about how -- what sort of progress we're making on $100 million to $150 million?
Sourav Ghosh: Sure, hey David. So I would start by saying that Marriott has actually restructured and reduced above property shared services, for sales and marketing, revenue management and IT and are right now working towards reductions of their program Shared Services fees for the following year. For this year, Hyatt has also reduced the fixed component of their above property IT costs by 15% and chain marketing fees by as much as 50%. And moving forward, they're really committed to making their fees more variable, so that the cost is actually tied to exactly what you were talking about the value proposition to the owner. In terms of the $100 million to $150 million the way we think about it is, we would expect that long-term, there'll be permanent reduction of the fixed portion of the above property cost by as much as 10% to 20%. So putting that into the context of dollars that would be somewhere between $20 million to $25 million of that $100 million to $150 million. Obviously, I would remind everybody that's tied to 2019 revenues. So assuming we get back to 2019 revenues, we'd be on the above property fees $20 million to $25 million of savings with a 10% to 20% reduction of the fixed piece of the above property costs.
Operator: Your next question comes from the line of Lukas Hartwich with Green Street. Please proceed with your question.
Lukas Hartwich: Hey, good morning, Jim. So when looking at forward group bookings, I'm just curious, what the curve looks like? Is it a gradual rate of improvement in activity over time? Or is there kind of a point on the calendar where things really start to hockey stick?
Sourav Ghosh: Hey Lukas, right now. Sorry go ahead.
Jim Risoleo: Go ahead.
Sourav Ghosh: I think right now, what's happening is even for future bookings, the encouraging thing like I was saying there is booking activity for future years; however their activity is definitely lower than what you would have expected, because there are folks waiting on the sidelines. That's why you have a lot of tentative bookings, but not necessarily definite on the books, looking at the future years. However, there isn't really cancellations that are taking place. And that's encouraging. It's just that the booking activity is somewhat sort of, I would say is slower than you would typically expect, because of all the uncertainty exists in the short-term.
Lukas Hartwich: Right. In terms of that tentative demand that's kind of waiting on the sidelines, is there a sense of knowing their mind? Are they thinking, well, third quarter next year is really fumble strongly consider booking some business. Is there some point in mind that these meeting planners where they're thinking -- where they're going to get serious about booking? Or is it kind of more of a gradual increase in just latency?
Jim Risoleo: I think your third quarter timeframe is the right timeframe, Lukas. I mean, everyone feels that the first half of next year is going to be -- continue to be challenging. And that when we do get a vaccine, it's going to take some time to get it rolled out among the population. So people are looking at the second half of next year and beyond.
Operator: Your next question comes from the line of Chris Woronka with Deutsche Bank. Please proceed with your question.
Chris Woronka: Hey, good afternoon, guys. I was hoping to drill down maybe a little bit on the actual property costs. You guys cover a lot of ground on shared services and above property, but how much of an opportunity do you see on some of these labor initiatives like no stay over housekeeping and changing up some of the food and beverage operations, how much of that realistically do you think you can make permanent, are the brands willing to accept that or the customers willing to accept it?
Jim Risoleo: I think on the housekeeping side Chris, it is really going to be opt-in to housekeeping services as opposed to opt-out going forward. And it's going to vary on, frankly, the type of property we have and the personal profile of the customer. There are going to be some customers, if they're staying at one of our luxury hotels, who are going to continue to demand housekeeping on a daily basis. And depending on different types of properties, customers may not very well, they may not want people in their rooms, to clean the rooms as long as they can get clean linens and towels and bathroom amenities that they need delivered to the front door. So, with respect to food and beverage, I think that we have seen a meaningful change on the F&B side going forward. I don't think you're going to see as one example, breakfast, buffets or likely hot breakfast buffets are likely to be a thing of the past. Hot offerings in the M Clubs and the highest concierge lounges are likely to be a thing of the past. So those are going to be permanent cost savings. I don't know Sourav; you have anything else you want to add, with respect to how we're thinking about the operating model?
Sourav Ghosh: Yes, I think the only thing I would add is what this pandemic sort of has allowed us to do is really look at zero-based budgeting and ground-up budgeting, and tie that with what the value proposition is to the customer and not only to the customer, but also from a brand perspective what the value proposition is to the owner. So at the property level, it's really understanding what the customer wants, and what the customer needs, and how we would shift the operating model based on that. So the minimum sort of base labor standards are being completely redefined. So going forward, and it's complete, it's going to be tied to what Jim talked about earlier is how brand standards get reevaluated based on customer preferences. So this is an opportunity where we’re able to actually do a zero-based budgeting roundup budgets to figure out what is the right labor model. And that's where we're pretty confident; we think we're going to get savings not only from a housekeeping perspective, but from food and beverage, particularly in the kitchen department, as well.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would like to turn the call back to Mr. Jim Risoleo for closing remarks.
Jim Risoleo: I'd like to thank everybody for joining us on the call today. As always, we appreciate the opportunity to discuss our results with you. I look forward to talking to you, we all look forward to talking to you next week or the week after at NAREIT and over the coming weeks and months. So please, everyone stay healthy and stay positive. We'll all get through this and I wish you all good day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.